Operator: Excuse me, everyone. We now have Sean Reilly and Keith Istre in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. In the course of this discussion, Lamar may make forward-looking statements regarding the company including statements about its future financial performance, strategic goals and plans, including with respect to the amount of timing of any distributions to stockholders. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Forward-looking statements give Lamar's current expectations and projections relating to its financial condition, results of operations, strategic plans, objectives, and future performances. As such, they are subject to material risk and uncertainties including economic conditions and their effect on the market in which Lamar operates and the broader demand for advertising, the levels of expenditures on advertising in general, and outdoor advertising in particular, and risks and uncertainties relating to Lamar's significant indebtedness. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's most recent annual report from Form 10-K as updated or supplemented by its quarterly reports from Form 10-Q. Lamar refers you to those documents. Lamar's fourth quarter 2015 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is now available on the Investors Section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Eugene Reilly - Chief Executive Officer: Thank you, Jennifer. Good morning all and welcome to Lamar's Q4 and full year 2015 earnings call. 2015 was an excellent year for Lamar. Our pro forma and as-reported revenue growth exceeded expectations. And most importantly, we grew AFFO per share by more than 12%. That marks the second consecutive year of double-digit AFFO per share growth here at Lamar. And, of course, we once again rewarded our shareholders with a 10% increase in the 2016 distribution. Regarding 2016, we're off to a good start. The integration of the recently acquired Clear Channel markets have progressed as expected; pacings are strong. On that note, the top end of our AFFO guide implies 3% pro forma growth, the bottom end 2%. Pacings for the full-year are tracking towards the top end as we sit today. So, all in all, we look forward to another excellent year in 2016. Keith?
Keith Istre - Chief Financial Officer & Treasurer: Good morning, everyone. Just to highlight a couple of numbers real quick. Obviously, everybody got the press release. And as a reminder, on the last call, we noted that the pro forma revenue growth for Q4 would be approximately between 2% to 3% and it came in at 2.5% right in the middle. And, of course, because our consolidated expense pro forma growth was only 1.4%, that translated to 3.9% of EBITDA growth. To give you some numbers for the entire year, consolidated revenue of $1.353 million calculates to right at 3.0% pro forma growth over 2014. Our consolidated pro forma expenses, including corporate, grew 1.6%, again below inflation. And our EBITDA at $591 million, grew 4.9%, almost 5%. Maintenance CapEx for the full year was $45 million, that came in under our guidance that we gave last year this time as well. Some of you guys – just to give you some housekeeping numbers for 2016. On the performance-based stock, we expect to book, based on our budgets, as of today, approximately $27 million for the year. The first quarter will be about $3.5 million and then it will be ratable after that; first quarter is always less than the last three quarters. As far as our depreciation and amortization with the new Clear Channel markets, we expect that, for book purposes, to be about $205 million for the year. You can just divide that evenly over the four quarters. Lastly, interest; again, this includes the Clear Channel markets, we expect for the full year to be approximately $120 million and about – that's in cash and interest and about $5 million in non-cash and interest for about $125 million for the total. Anyway, that's pretty much it.
Sean Eugene Reilly - Chief Executive Officer: Great. Thanks, Keith. Let me hit a couple of items before we open it up for questions. First, on our digital platform; we ended the year with 2,289 units in the air as of December 31, 2015. I would note that 75 units of those were acquired during the course of the year, so 149 units would represent the new greenfield digital deployment. As we look forward to 2016, of course, we have the acquired units from Clear Channel that we're integrating. In terms of new deployments, let's pencil in roughly the same amount for 2016 that we did in 2015. Another nice trend we're seeing by the way in our digital footprint is the decrease in required maintenance CapEx. We're finding that the costs are coming down and expected life of units is lengthening. When you put that together, that explains the nice upside surprise in last year's lower maintenance CapEx requirements. And I would say that, for 2016, again, you should pencil in roughly the same number that we had for 2015 in the maintenance CapEx category. Looking at the verticals in turn of business. The turn in business is very good. Again, as I mentioned, going into 2016, we are carrying some momentum over from some verticals that did well in the fourth quarter. I'll highlight telecom actually, those of you that have followed Lamar and the industry for a while know that telecom as a vertical has been a little soft for the last couple of years. And in Q4, telecom, for us, was up 54%. So it's just nice to see the wireless carriers coming back and that seems to be continuing into 2016. Leverage was very strong; services, very strong. So all in all, if we look at our top 10 verticals, we see relative strength and it gives us a reason to be optimistic as we move into 2016. With that, I will open it up for questions. Jennifer?
Operator: Thank you. Our first question comes from Marci Ryvicker with Wells Fargo.
Marci L. Ryvicker - Wells Fargo Securities LLC: I have a bunch of questions. The first – Sean, just to clarify, you talked about revenue for the year being between 2% and 3% and that the full-year seems to be pacing towards the top end of that. Does that mean Q1 is pacing to the top end? If there is any color you can give on how the year started in the first quarter? And then related to that, maybe talk about overall macro and if you're seeing any signs of a slowdown anywhere, any recession talks? Thanks.
Sean Eugene Reilly - Chief Executive Officer: Sure. On that score, on the pacings, both Marci, first is pacing at the top end full-year. Obviously, our crystal ball gets a little fuzzier as we move out to the third quarter and fourth quarter, but I would remind people that we should get a little lift from politics in the third quarter and fourth quarter and that is showing up in what we're seeing in the back half. Our back half is stronger this time this year than it was this time last year. We're not seeing any indications of a slowdown in any of our verticals or quite frankly in any of our regions with the exceptions of those that are directly tied to the oil patch, and those are highly localized examples, places like Lafayette, Louisiana and Houma, Louisiana and Midland, Texas and Oklahoma City. These folks are – they're obviously struggling with something that's different than what we're seeing in the rest of our footprint.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then can you talk about the digital yield, the same board digital yield at least till the fourth quarter and maybe what you're seeing today.
Sean Eugene Reilly - Chief Executive Officer: Sure. As you know, last year, we wrestled with some same board declines and we've monitored it carefully because we wanted to see that turn as we pondered our deployments for 2016. And in the fourth quarter, it turned positive. If you recall, it was positive in the first quarter for last year then it went negative in the second quarter and negative in the third quarter and then the fourth quarter turned around to be positive, up 0.5%. And we're seeing that trend continue particularly in the first quarter, we had very, very strong in January.
Marci L. Ryvicker - Wells Fargo Securities LLC: And then, Keith, one question for you. Associated with the 2% to 3% sort of implied revenue growth, how should we think about operating expense growth for the year?
Keith Istre - Chief Financial Officer & Treasurer: We're looking at something in the neighborhood of 2%. We always try to give a range, but – and we generally say 2% to 3% just to cover ourselves. But, I mean, you look at the past two years, three years, I mean, we always come in at inflation or below just like this year. So I think 2% is a nice round number.
Marci L. Ryvicker - Wells Fargo Securities LLC: Great. Thank you both so much.
Operator: Thank you. Our next question comes from Jason Bazinet with Citi.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): I know you guys said there's no signs of a recession, but I'm going to ask a recession-related question just in case things do go off the rails. The last time we went into a recession you guys did a remarkable job containing expenses. And I was just wondering as you look at your – the way your current business is configured, how much revenue decline could you see without having to cut the dividend?
Sean Eugene Reilly - Chief Executive Officer: Well, I'll go back several decades and then I'll talk about the Great Recession.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay.
Sean Eugene Reilly - Chief Executive Officer: For purposes of garden-variety recession, Lamar has never declined more than 2% pro forma in a year and never had consecutive pro forma declining revenue years in a row. That's going back four recessions, five recessions as far as we can take our history. So in that garden-variety scenario, your distribution is perfectly safe and under no jeopardy. As a matter of fact, if you look at our payout ratio, it should give you some comfort. I mean, we're paying out about 50%. This year it'll be, give or take, $5, if we can get a little macro cooperation in AFFO per share and our payout is going to be $3 in terms of our distribution. And that's on the low end of most of REITs. So we've got room there, that should give you some comfort. Now, in the Great Recession, here's an interesting stat that a lot of people overlook, because our CapEx is discretionary and variable, we're able to cut it on a $0.10. It's also got a shorter cycle than most construction projects. So in 2009, when we skinnied down our CapEx, we generated enough free cash flow to honor the distribution we paid last year. And there's not a lot of REITs that say that. So...
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): That's fair.
Sean Eugene Reilly - Chief Executive Officer: You can sleep well at night. Number one, we're not seeing anything as we sit today. And number two, our business model is more resilient than virtually any REIT you're going to see out there.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. That's very helpful. Thank you.
Operator: Thank you. Our next question comes from David Miller with Topeka Capital Markets.
David W. Miller - Topeka Capital Markets: Hey, guys. Congratulations on the stellar results. A couple of questions. Keith, now that you've completed the Clear Channel acquisition, does this quicken kind of the dividend inflection, because the profitability of that's going to eat into the NOLs quicker? In other words, did any NOLs come with the new boards? And then I just have a quick follow-up.
Keith Istre - Chief Financial Officer & Treasurer: No. It was an asset acquisition. And actually it helps us, because we've got new depreciation to cover the net taxable income, which with us is not that big of an issue because we are setting the dividend at a fixed rate and increasing that 10% a year regardless of what the taxable income is. So, no; in answer to your question, it's not going to have any noticeable impact on the NOLs. We've run the models and we're fine.
David W. Miller - Topeka Capital Markets: Okay. Great. And then, Sean, I'm sure you're aware there's been a lot of chatter over here on the West Coast about, like, VC money drying up for start-ups and unicorns or potentially unicorns not getting the VC money that they thought they would get last year or what have you. What percent of advertising revenue comes from startups or uniorns advertising on your boards? Is it a fairly large category, or getting larger, or is it just generally de minimis? Thanks a lot.
Sean Eugene Reilly - Chief Executive Officer: I would put it in the de minimis category. From the tech world, our largest spend comes from Apple and Google, Microsoft. I'm not sure really that we're getting anything of any consequence from the Ubers of the world.
David W. Miller - Topeka Capital Markets: Excellent. Thank you.
Operator: Thank you. Our next question comes from Tracy Young with Evercore ISI.
Tracy Young - Evercore ISI: Hi. Could you talk a little bit more about the telecom? Is that coming from the national side? And also, what's the breakdown of national versus local now?
Sean Eugene Reilly - Chief Executive Officer: Yeah. Actually, that was national. And national was stronger in Q4 than local. Tracy, as you know, we've got a little bit of white noise in our local/national numbers because of the shift from daily to monthly. So I don't like to give it out hard in terms of exactly down to the decimal point. But that being said, Q4 national was significantly stronger than local. Let's call it up in the sort of 6%-ish to 7%-ish range as opposed to local in sort of 1%-ish to 1.5%-ish range. Again, there's a little white noise in those numbers. But interestingly, as we closed out the year, which is what I like to look at, they were exactly even at roughly that 3%that we were up pro forma. So it's interesting. That national and local can ebb and flow, but at the end of the day, they usually come out about the same.
Tracy Young - Evercore ISI: Great. Thanks. And then in terms of – I don't know. Keith, could you provide a CapEx maintenance number or could you provide something like that for 2016?
Keith Istre - Chief Financial Officer & Treasurer: Well, I think Sean has mentioned that $45 million was basically – what we did in 2015 would basically be what we're planning on doing in 2016, $45 million.
Sean Eugene Reilly - Chief Executive Officer: Yeah. That's a good working number. And again, it's encouraging to see what's going on with Moore's law and our digital platform, because it's helping in that regard.
Tracy Young - Evercore ISI: Okay. Thank you.
Operator: Thank you. Our next question comes from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. Just a question just on the M&A environment and following the acquisition of the Clear Channel assets, I guess what is your appetite for additional M&A? And I guess sort of what type of assets would you be most interested in? And just sort of your general commentary on how the environment looks in terms of competition right now?
Sean Eugene Reilly - Chief Executive Officer: Sure. Well, I think probably the most instructive thing is to look back and see how the traditional auctions progressed. And it was very interesting. As you know, they had a menu of markets and an expressed desire to sell them and price them individually and not necessarily in a package. And I think they did a good job of running that process. We managed to hone in on the markets that made most sense for us and I think we got them at a fair price. I would note that the markets we were either outbid on or did not bid on went for a higher multiple. If that tells you anything, you can look at certain filings and see that the multiple for the markets that – the trailing multiple for markets we didn't get was north of 13.5%. And of course, we were 12.5% trailing, 11.5% forward. So that's fairly instructive. There were good operators out there bidding, a small venture-backed group that did a really good job at Fort Smith and Wichita. I wish them well. Fairway, I believe, prevailed in a market. And some investors who are long-time outdoor folks that I'm glad to see are getting back in prevailed in Portland. So as I look back on that auction, I'm happy with valuation. The industry is strong. It has good independent operators, good financial backing and just – I think Clear Channel can be pleased on how that process ultimately concluded and we are as well. Looking forward, we have constantly said since we became a REIT that we want to operate in a leverage band of 3x to 4x EBITDA to total debt. We're up on sort of 3.8% side of that, which would indicate we have a little bit of powder left. But we also generate so much free cash flow, it wouldn't be a bad idea to whittle that down to 3.5% and have even more powder left towards the back end of the year. So we'll see how the year progresses. We're very happy with what we have. We're very happy with, again, industry valuations and industry players. So all good on that front.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you.
Operator: Thank you. At this time, I would like to turn the conference back over to Mr. Sean Reilly.
Sean Eugene Reilly - Chief Executive Officer: Well, thank you all, and thank you for your interest. I look forward to visiting when we report our first quarter for 2016. For those of you on the West Coast, next week I'll be at the Morgan Stanley Conference in San Francisco presenting on Tuesday. Thank you all.
Operator: Thank you, everyone. At this time, this concludes today's teleconference. You may disconnect now.